Aileen Smith: Welcome, everyone, to Luminar's Fourth Quarter and Full-Year 2023 Business Update Call. My name is Aileen Smith and I am Luminar's Head of Investor Relations. With me today are Austin Russell, Founder and Chief Executive Officer; and Tom Fenimore, Chief Financial Officer. As a reminder, this call is being recorded and you can find the shareholder letter that accompanies this call at investors.luminartech.com. Hopefully, most folks have had a chance to review our shareholder letter as we are continuing with our new earnings format this quarter. As with last quarter, we will spend the majority of the call addressing questions from our stakeholders, including the retail investor questions, posted on the SAFE platform, institutional investor questions emailed to our investors inbox, and live questions from our analyst community. We will be checking these platforms intermittently throughout the duration of the call to address any questions that come in real-time. Austin wanted to begin our call with some welcome remarks, including a look back on '23 and a look ahead into 2024. Before I pass the call over to him, I wanted to remind everyone that during the call we may refer to GAAP and non-GAAP financial measures. Today's discussion also contains forward-looking statements based on the environment as we currently see it, and as such does include risks and uncertainties. Please refer to our shareholder letter for more information on the specific risk factors that could cause actual results to differ materially. With that, I'd like to introduce Luminar's Founder and CEO, Austin Russell.
Austin Russell: All right, well, thanks Aileen, and great to see all you guys here. So maybe just a quick opener before we jump into Q&A. If you've had a chance to be able to take a look at that letter kind of informational packet. The team and I have been really quietly heads down, focused on execution and the core execution for our business with all eyes on the industry's first production vehicle launch, with Luminar and Volvo as standard on the new EX90. And it's funny, as I think this is going to be one of the, maybe even the last earnings calls that where we're a pre-production R&D company before we truly enter our growth stage. And I'd say it's become abundantly clear that we've all seen all the challenges that the automotive industry has faced historically in being able to develop, industrialize, and enable this whole next generation capabilities on vehicles and bring it out into the commercial world and into consumers' hands and really all this has been laid bare to the public in recent history, in the media and whatnot. A lot of this just comes down to the ambition of what most have been in the industry have been trying to do of replacing the driver altogether with robo-taxis and this is where from Luminar from the beginning, we've taken a strategy of enhancing the driver and really focusing in on production vehicles. And that's where Luminar is succeeding, where the rest of the industry hasn't. In the last 10-years of what we've done at Luminar have really been leading up to this global launch on production vehicles right around the corner with Volvo, and we'll be covering this at Luminar Day. To-date, we've invested over a billion dollars to develop a technology foundation, product industrialization capabilities, and this year it's showtime. And it's true that there are incremental costs, like maybe what you saw this quarter, that was more than the target and we don't control all the timing for the vehicle launches and we've learned a lot through the years on how we can even be more efficient. But now that's in our rearview mirror. And for the first time, our multibillion-dollar order book is going to be converting to revenue this year. For the first time, we're going to start seeing the benefits around the world into consumers' hands. And, of course, automakers are going to be, well, maybe I shouldn't say, of course, but in the case of Luminar, automakers are going to beginning to directly market our technology to their consumers. And this initial EX90 launch is going to be preceded by a flurry of additional mass-produced vehicle launches with automakers around the world over the coming 36 months following this. So, yes, it's very exciting time. Certainly going to be enabling a lot of additional operational and economic efficiencies and exponential economic growth as we start realizing these benefits of the economies of scale with this program. So very excited, everyone. Stay tuned for a special Luminar Day on April 23. And happy to be able to jump in with Tom here to be able to talk through the business, what's ahead, and sort of what we've had. As it relates, of course, to this year, we were able to hit the majority of the overall milestones that we had throughout 2023 and we can give a little bit more commentary and questions on all of that. Again, the critical part is all around the core execution leading up to this launch. But we have also, in addition to that, been able to continue to scale our business, adding additional vehicle models, commercial programs overall to our business plans. But again, the critical part is all about execution. That's what the industry hasn't done historically to be able to successfully launch, and that's what we're excited to be able to make happen for the first time. I think we're ready for Q & A, Aileen if you want to start us off.
A - Aileen Smith: Great, thanks, Austin. So we are going to begin with a couple of questions from our SAFE platform. First question was reiterated in a couple of different capacities, but as such, I think there exists an information gap between the performance of the company and how it's being evaluated by Wall Street. Are there any plans to bridge this divide and bring new investment into the company and stock?
Austin Russell: Yes, I think, you know, Tom knows this just as well as I do. And obviously, we all have very much shared in the frustration from some of this kind of market dislocations and whatnot. And the reality is that there has been a disconnect in value over the last few years relative to what we've been able to accomplish. I mean, everything from, again, scaling from technology to product to going into now serious production, going from what, like an order book of less than $100 million to $4 billion, from being able to actually successfully invest, develop, and deliver on these kinds of capabilities. And that's not to say that there's a lot more to do. We got a lot to prove out. But there's also a lot of other factors that come into play and certain technical factors that I've had, for better or worse, too, I'll learn about through the way. The important part is, I think when you talk about value, Luminar as a company is operating in a way to be able to deliver that long-term value overall to our shareholders. And that's our north star in that and that's exactly what we're doing to be able to use, I would say also comparable companies historically to what the Nvidia's, the Tesla's, the Mobileye of the world have done at equivalent stages as benchmarks towards our journey to success. And as we execute, we have the opportunity to be able to become exactly like that.
Aileen Smith: Okay, our second question from the SAFE platform in its 10-K, filed on February 23, Mobileye noted that it's no longer actively working with Intel on its FMCW LiDAR development. Further, they noted that Mobileye is pursuing a different LiDAR technology. Can you please elaborate on how this affects Luminar?
Austin Russell: Yes, so when it comes to Mobileye, I probably can't comment on our partner's internal business. But when it comes down to, I will say that that's probably just yet another validating point, that this stuff is hard like it's not easy to be able to take things from people dramatically underestimate what it takes to go from powerpoints to technologies to industrialized products for scale. And I would just say that's not even specific to any individualistic company, but also more generally the industry at large. And obviously, as more and more people realize this, it's ultimately more and more beneficial to Luminar where we have done that. And I think that this is, again, all the more important to be able to show how we can successfully want to launch people are reading the tea leaves in the industry too, for that matter, because it costs real money to keep running these programs, too.
Aileen Smith: Okay. With that, we're going to switch gears and take a couple of questions from our analyst community. I will remind our analyst community that we will allow one initial as well as a couple of follow-ups. Our first question is going to come from John Babcock at Bank of America.
John Babcock: Hey, good afternoon, guys. I guess, just the first question I had on order book, I noticed there was a change in the way that you're calculating that. And last quarter you provided guidance that you expected to have this year at around a billion plus in additional order book, I think you mentioned it was around $800 million. Was just wondering how much of the impact or the gap there was from the change in the calculation. And also, if you could just provide specifically how much that calculation overall impacted 2023? That'd be great.
Tom Fenimore: Sure. And John, it's Tom. Let me start off with that. And first, let me talk about how we've done it differently. We ended '23 with about 25 awarded vehicle lines or commercial programs. And what we've done this year that is different than what we've done last year. And this is just part of us being on that verge of the SOP and continuing to mature is we listed each of those vehicle lines. We then went to IHS, as I would say, the ground truth for the volumes to use in calculating our order book, as well as our internal forecasting. So we used IHS as the source of those volumes for SOP dates and EOP dates for the vehicle lines that we have awarded. If we're standard, like on the Volvo EX90, you just take 100% of that. If you are not standard, what we've done is we've assumed a blanket 25% take rate. We looked at market data, we looked at what our customers are telling us. It typically ranged between 5% and 50%. We kind of used 25%, which is a little less than the midpoint. Put a pin in that we'll talk about a sensitivity analysis in a sec. And then we rolled up the order book that way. That resulted, I would say if you kind of look at on an apples-to-apples basis relative to the business we already won about a $400 million decrease because I would say, on average, ISS has more conservative volume estimates than I would the more the customer-derived ones that we've used historically. If you look at what our total gross wins were during 2023, it was about $800 million. It was still a little bit shy than the billion that we forecast because some decisions we were expecting to make in '23 have been deferred into '24. We really didn't lose anything that we wanted to win. But I would say that more conservative forecast there kind of was about a $400 million headwind in terms of order book size that we've reported. Now going back to the take rate of 25%. If you want that to be 5% higher to 30% or 5% lower to 20%, or whatever number you want to choose, a 5% change in that assumption impacts the size of our order book by about $400 million. So we wanted to give that additional disclosure so that people can make their own estimates of the order book size there. But I would say it's a more analytical bottoms-up based on more third-party sources for volumes, as opposed to kind of using what our customers have provided us.
Austin Russell: And on that note, what's great is we want to help set the standard in the industry when it comes to order book type of calculations because we've seen sort of, I would say, radically different views of what those can amount to and that's why it's like, oh, if you use the same kind of calculation that then our order book would be $100 billion or something at this point, which is that at that point, it just becomes irrelevant. We're probably not even, probably still getting a fraction or not much credit at all today for even the order book that we have. So that's where I think what is cool is that now, whereas I think when we were first doing this, even before Tom was on board, some years ago, there weren't IHS volumes didn't exist for any of these things. And now, okay, like these models are starting to come to fruition, and that's what's at least exciting to me and starting what, in months in the countdown.
John Babcock: That's very helpful. Thanks for all the color. I guess, just last question before I turn it over. I think one of the difficult aspects of certainly your industry is trying to kind of gauge how the adoption is for the different companies and how they're kind of thinking about that. Just kind of curious, is there any change in how companies are anticipating the adoption of autonomy? It seems like it's getting pushed off broadly, but just wondering if there has been any material change over the last quarter. So we've read about EVs flowing, and that does have some natural flow through, given the technology adoption in EVs relative to currently for ICE vehicles anyway. But just overall, if you could kind of talk about how that cadence has changed, if it has changed at all from last quarter? That would be useful.
Tom Fenimore: You want to go or you want me to do?
Austin Russell: Well, maybe I'll start off that. I would say when it comes to the overall industry, we actually, we have the roll-up on this. Now, the majority, and actually around 80% of the Top 20 automakers are planning on integrating either LiDAR or just long-range LiDAR, generally by 2030, you know, and have it on the roadmap to be able to do that into their production vehicles. So there definitely is a -- and for the remaining portion, I think it's like the remaining 15% is they're figuring out and 5% isn't. But there's no shortage of interest in demand and everything in terms of what ultimately, the ability for these technologies to get integrated across vehicles is like. The whole job of what we have is how do we find ways to further accelerate that adoption curve. I mean, naturally, to the point of, like one thing that I think a lot of people in the tech industry don't appreciate as much since we're kind of this weird mix of both a technology company and an automotive company at the same time, is that automotive design cycles are very long as I know, you know, of course. And this is where you take a look historically at the adoption cycles for new kinds of technologies in the automotive industry and you're talking about, like, 20-years from the time that something is first introduced to when it was standardized, ultimately on every vehicle. And I think for LiDAR generally, I think we're actually seeing a faster adoption curve than probably any other technology maybe in automotive history, or even just the overall concepts of like, I think, what like, battery electric vehicles are still like only a single digit percentage of vehicles sold after 20-years. Like, this stuff takes time, but the economics are massive when you're able to realize it and that's why it's just so powerful to have real market penetration into this. And that's where I'd also say it kind of goes back to one of the things I put in the letter is quality over quantity, because you could have a dozen different OEMs that you're working with. But if it's, like, just on a single low-volume vehicle like that may or may not you know happen that's only so meaningful if you are able to successfully come to fruition and realize the value and benefits of the partnerships that you have. I mean, you're talking about tens of billions of dollars in value that you can successfully realize even from, for example, just in our case, just the existing customers that we're working with. So that's where it's going to be important. I think, to the overall point, though, on EVs and the last point that I want to address, to your point, that is very real in terms of the growth headwinds that I think a lot of EV companies are facing and I mean, ultimately, you're the analyst on that, not me but from our conversations with some of the like pure EV companies, that's always the case. I think, though, that what is important and this is very much also a misconception, I think, about Luminar generally, is the idea that we are only for EVs, the amount of company, the amount of people that I've actually had that have literally gone out and called Luminar like an EV company or like EV tech company is surprising, you know. So, I think what is actually probably very surprising to many is that for the majority of vehicle platforms that we're on, they're actually, they do include combustion vehicle models or variants and that's where there I think that there is going to be a lot of value growth and the reality is that it is true that combustion engine vehicles aren't like, just disappearing overnight. But our technology and the safety benefits of this technology and the time-saving benefits of this technology is independent of powertrain. So it's independent whether it runs a dinosaur, druce, or lithium-ion. So that's sort of the perspective that we have and I think doesn't sort of materially affect the value or value proposition of what we're doing overall, so. But, yes, that's the perspective.
John Babcock: Yes, thank you.
Aileen Smith: Our next question comes from Joshua Buchalter at TD Cowen.
Joshua Buchalter: Hey, guys, thanks for taking my questions. To start following up on the sort of John's first one, unless I missed it in the shareholder letter, you didn't provide an order book target for this year. I was wondering if you could maybe speak to the rationale behind why you're not providing it this year. And maybe if you're not going to quantify, are there any sort of qualitative commentary you can give on upcoming RFPs and RFQs that you can help us better understand sort of the business funnel? Thank you.
Austin Russell: Yes, look, Josh, I think it's fair to say we're going to significantly grow our order book this year. 2024 is where we're going to be actually transitioning the order book from potential revenue into actual revenue. And so what we're going to be talking a lot more about this year is what our revenue is going to look like, particularly from series production revenue. We gave some guidance for what we expect that to be on a quarterly run rate in the latter half of this year, particularly in the mid-30 range. Look, we're confident that Volvo is going to start production on the EX90 in Q2. I think the ramp-up and the exact pace, as we get more confidence and clarity on what that exactly is going to be, we're going to refresh that as well. The order book is going to go up significantly. And what I would say is, in the conversations, we're having with customers, both newer customers and existing customers, there are some macro headwinds that we talked about before, like EV headwinds, and how that impacts our product planning as well as, I would say, some of the software complexity around getting these systems that right. But I would say when it comes to Luminar, they want to actually see us get the high-volume production, which we will in the coming weeks. And I think they want more clarity around our next generation ladder is going to look like and we'll talk more about that at Luminar Day. Once we get those two things, that's going to unlock a lot more business. And as we win it, we'll set more specific targets.
Joshua Buchalter: Understood. Thank you for all the color there, Tom. Actually, another one for you. You called out the goal, I think, of $150 million in liquidity exiting the year. Any more details you can provide on sort of how we bridge that number? And maybe you can give us details on your expectations for OpEx trajectory because you're in the ramp phase. But you also mentioned that industrialization costs should be coming down, and it sounds like there's also some belt-tightening. So it'd be great to hear some more color on how you expect to get to the $150 million number. Thank you.
Tom Fenimore: Yes. The starting point we're using there is the $340 million, which is the $290 million of cash and the 50 million of credit facility that we recently put in place. Our prime objective has always been get to Volvo SOP. And if we have to spend a little bit more to get there at the sacrifice of our near-term results like what we did in Q4, we're going to make that. But now that we're getting really at Volvo SOP, we're really going to start the belt-tightening. We're going to start aggressively attacking our unit economic costs, particularly the bomb and the manufacturing conversion costs. And then we're going to look to streamline Luminar and really assess what is core to us and then what are some things that can be done better in other ways. And we're going to start really looking at how we can streamline the organization. That, as well as the wind-down of some of the iris industrial costs are going to continue to have our net cash spend in the right direction. It started that way in Q4. We were hoping it will be a little bit better, but it was still a big improvement from what the first half of the year looked like there. I would say our internal targets are a lot more aggressive than the $150 million we have here. But I think once again, we want to get a little bit more clarity on exactly what that Volvo ramp-up is going to look like and then what the corresponding cost ramp-down looks like. And then we'll provide more clarity on some of the actions we're taking here in a little bit.
Joshua Buchalter: Yes. Thank you. I'll see the floor.
Austin Russell: Absolutely. And I'll also say that obviously, when it comes to just the overall business and environment, I think I just want to make sure there's kind of broader where we're not oblivious to the overall change in macro environment, which we know there has been a significant change, there's been changes in industries, changes other stuff. Not all of it is explained like I said, from a market standpoint, but just more generally, I think it's totally fair to say that the kinds of investments that we're going to be doing going forward are going to be done on a much more conservative basis like. And sometimes, to be honest, it's painful because it's like, we know this is good, this is absolutely going to have a great five to 10-year payout if we do X, Y, and Z. But like that's the kind of thing that maybe brings you from like a $10 billion company to like a $20 billion company like, I think that the point is that let's focus on the core of what's driving and validating the value of what we have. Let's focus on validating the order book. That's the same reason why, like, honestly, we could continue to add billions of dollars to the order book for everything. That's fantastic. But we're not actually even really getting credit for even a fraction of what we have today. So that's why I think focus on the core, focus on validation. And I think, just to be frank, there definitely are greater efficiency opportunities, in particular, given this over a billion-dollar investment that we've made historically, we're past that peak of cash spent, and we're riding that tailwind from that big investment that we've made to be able to realize the full benefit for the next decade to come from that technology foundation, product foundation, and industrial capabilities that we built.
Joshua Buchalter: Thank you.
Aileen Smith: Our next question comes from Itay Michaeli at Citibank.
Itay Michaeli: Great. Thanks, Aileen. Hey, everyone. Just a couple of follow-ups for me. First, on gross margins. I know in the past you have provided some targets there. If you do hit kind of when you hit the mid-$30 million target, any color, you can share, Tom around how we should be thinking about kind of gross margin for the company at that point.
Tom Fenimore: Yes, look, we're hoping to see some improvements in Q4. It took a little bit more effort to get ready for the Volvo SOP, which, as I mentioned before, was the prime directive and the right priority here at Luminar. It's all going to be dependent, Itay, on how quickly that volume ramps up and how quickly we can ramp down the cost. Both the unit economics as well as some of the fixed costs that we have embedded in our COGS, which is a fair amount. And so we are actively working on a plan to make that happen as fast as possible. And as we get more clarity on the ramp-up at Volvo and the corresponding ramp-down in the cost, which is going to be the biggest driver on that, we'll get more clarity but you know, I think it's very safe to say that you're going to see a fair amount of improvement as we get into the latter half of the year.
Austin Russell: Absolutely. The other thing that I note more generally is that there's really -- this overall notion of COGS is extremely confusing to a point where like I even sort of have to dissect it of what are all the different components that go into this and turns out there's actually a surprising amount of components that go into this, particularly from the industrialization side as well. You're talking everything from literally consulted costs all the way through like, other, you know, one-off costs that you have to be able to accomplish. And I think that that's the part that we're really focused on driving. Of course, we're also focused on driving further the unit economics, but even today, I mean, it is incremental from a variable cost perspective, it is incrementally positive already, which was how we originally underwrote some of the thinking around gross margin more generally on a product basis across the board for the different kinds of product capabilities that we have. So that's what is positive and obviously not what is immediately obvious, but I think that's where we're going to also have to figure out how we can better break out some of the industrialization costs, and, but most importantly, make sure that cost is still cost and we want to be able to realize the economy is a scale of Volvo and drive that down by the time that happens within the first-half of the year.
Itay Michaeli: Got it. That's all very helpful. Thanks for the detail. Maybe just a quick follow-up going back to the order book. To what extent was the shortfall in '23 tied to the timing of the next-generation LiDAR? And if it was, how should we think about when your customers can kind of make decisions, sourcing decisions around that next-generation LiDAR?
Tom Fenimore: Yes, look, and we'll talk more about that. I think that's a very good question and observation there, Itay. What I would say is I've always described our next-gen LiDAR as kind of like a smaller, better, cheaper and we're looking to accelerate that in terms of some of the commentary streamlining, making sure that we can industrialize our products faster, applying the lessons we've learned after over the last three years, going through what we went with on Iris to make sure that we can get it to the market as fast as possible because our customers really like that product. They really want it and I would say the timelines that we're working on for that are starting to align with their product planning cycle. It's not exactly there yet, but it's going to be there pretty soon, and I would say waiting a few months to get that next better product, as opposed to kind of taking ours, which is a great product today, but taking that for six, 12 months and then transitioning to the next generation one when there's a natural slowing as people revisit their product planning because of the EV headwind, some of the software struggles they're facing, that is kind of aligning. And I would say we didn't lose anything that we wanted to win. That wasn't the reason for the order book mix. It was all just decision-making that was supposed to happen by '23 being deferred in the '24.
Itay Michaeli: Terrific. Very, very helpful. Thank you.
Austin Russell: Yes, absolutely. And I will say that when it comes to product planning cycles in programs, part of the whole point is that there's a relatively limited, like there's only so many automakers that are early adopters of something. You know that's part of the reason why a lot of this stuff is super lumpy as well along the way. And I think like I said, as you said, we won everything we wanted to win this past year. The thing is that when it comes to product cycles for this, the way that we're kind of thinking about the roadmap side of it is a new kind of step function improvement in product every sort of three years to four years. I know a lot of times in just certain industries, we'll have like one-year to two-year product cycles, but that's not particularly useful in automotive because you have seven-year-long program spans. And even then, you really want to be able to best leverage the economies of scale and supply chain. So that's of course, for the next-gen stuff, that's what I'm really excited to be able to unveil at Luminar Day, given that the work that we've done for what, like five years now on the back end for this next-generation technology development, and that's where the transformation can happen of whereas Iris, like an Iris+, it's great for what's there. Tom mentioned what now. It's scaled up to '25 vehicle models and programs with that, but that's something that goes like 100,000 millions’ or whatever with the next generation. That's where you could ultimately see this being on mainstream vehicles. It's capable of being on tens of millions of vehicles and scaling accordingly. So that's really the breakthrough objective that we have ahead. But we'll share the details at Luminar Day.
Itay Michaeli: Thank you. Appreciate all the detail.
Aileen Smith: All right, we're going to take a few questions from the SAFE community. First one, how will the company offset the loss of business for autonomous vehicles as the need appears to be shrinking and not growing? Are you planning for growth or planning for sustainability?
Tom Fenimore: We're planning for both. When you look at the order book and what we've calculated that, and you kind of look at autonomous robo-taxis, I think there's a few million dollars, so less than 1% in our order book, and that's simply from POs that we have in hand for this year. And so our order book is almost in the passenger vehicle and consumer space. That is a bet that Austin made several years ago to focus on that if and when robo-taxis get here in the near future. That's great. That is all upside to our order book as well as our near and medium-term growth.
Austin Russell: Absolutely. And I would say not only that, is that the kind of stuff that and this is oftentimes very much confused with Luminar and obviously part of the frustration as it relates the broader industry sometimes we get painted with the same brush. But not only is some of this floundering they've had, not that doesn't affect any portion of the business because we didn't have any of that, we've had the focus for production vehicles the whole time and it actually is further validating of our thesis that we made the right moves in this and that's why also we're able to lead the charge, a relatively small company like Luminar shouldn't have won out over the Waymos, and Cruises, and Aurora's, and Apple’s and all this other stuff of the world to be able to be first to a global production vehicle with this kind of technology doesn't make sense. So the reason why it just comes down to the right technology, the right strategy, the right bets, the right capabilities that we're building from a full stack standpoint. And obviously, the goal is to have that validated where we can get separated from that pack of autonomous vehicles, companies that maybe haven't been as successful and really show how we can be more, as I said, like those other kinds of growth, tech comparable companies that I mentioned earlier.
Tom Fenimore: What do we got next, Aileen?
Aileen Smith: Our second question is, is the higher cost of implementing Lidar the reason behind as to why car companies are holding back on LiDAR? If so, do you see this technology becoming cost-effective in the future, to be widely considered by most car manufacturers?
Tom Fenimore: Yes, look, I think we're there today, particularly with our next-gen product, where as I mentioned, we're going to be taking the cost down. And so, look, our customers are always going to ask for lower pricing, but we've been able to commercialize and industrialize our initial product with Iris to get it on vehicles starting here imminently now, albeit it tends to be at the higher price point, which is very consistent with the introduction of any new technology. But I would say while our OEMs customers are always going to beat up on cost, that is not really what I would say is an obstacle for us winning more business, particularly with our next-gen product.
Aileen Smith: Yes. Absolutely. And I would say the biggest barrier is just the natural adoption cycles that we talked about earlier. It just takes time for new people platforms to come out and to get adopted. And the reality is that folks like, particularly, in particular, Volvo is always the first to introduce new kinds of safety technologies. Mercedes is generally the first to introduce new kinds of other advanced technologies. We're working with both of those know to be able to make that happen to production, show the industry what's possible, and then it trickles down from there.
Aileen Smith: Okay, we're going to switch back to our analyst community. Our next question is going to come from Kevin Cassidy at Rosenblatt.
Kevin Cassidy: Yes, thanks for taking my question. And it was right along the same lines, Austin and Tom, what you were just saying. I want to understand more about the next-gen product. And the market that you're addressing with that, how much larger is it? How many more bids are you looking at than compared to the early adopters, I just want to see where the momentum is.
Tom Fenimore: I would say that. So if you take a look at our opportunity on this, like I said, I think we're kind of within this same realm and world with Iris and Iris+, the next-gen product that unlocks, I would say probably at least another order of magnitude of volume opportunity, maybe more. I mean, arguably there's actually already an order of magnitude, additional volume opportunity even with just our existing customers on LiDAR alone, much less new customers. So I think this is where we see this as a big opportunity to drive further adoption throughout the industry. I think also, though, that the most critical part of all this is all going to be about the recognition of value. Right now, I think LiDAR is cool, it's seen as important, but it doesn't yet have the status of what sort of Volvo has called as kind of the 21st-century seatbelt and that's where we want to be able to get to. So that this is truly a standardized technology across the industry and there's frankly no reason why that can't happen. The key is just showing also the safety benefits. And that's why I had mentioned that we've been collaborating with these third parties to provide our technology to them for testing that's being independently run to be able to quantify the safety benefits of what can be had on vehicles and we have a host of different automakers that are actually extremely interested in the results of this comprehensively as it relates to their product planning. And for that matter, insurance companies too, for that matter, when it comes to the safety benefits and improvements which directly affects this and that's why when you talk about the long-term benefits of this. You're talking about thousands of dollars of value and savings being added for every LiDAR put onto a vehicle, assuming any kind of material safety improvement and savings when you take a look at a total cost of ownership perspective. So that's where we need to get to. It just needs to be a broader recognition of value as well. But it also takes, of course, the product to be scalable to do that. And that's where one of the milestones that we have for the here, in addition to scaling up the factory that we have down in Mexico. We're also getting our next, also high-capacity factory online as well to support additional production with TPK.
Kevin Cassidy: Great. Maybe just as a follow-up, you hit on a couple of points there. Right now, the buyer, when he's buying the Volvo car, is it an option for him to put in a Luminar LiDAR, or is it standard?
Austin Russell: Standard.
Kevin Cassidy: Standard. Okay, that's great. Okay, thank you.
Aileen Smith: Our next question will come from Kevin Garrigan at WestPark.
Tom Fenimore: Hey, Kevin.
Kevin Garrigan: Hey, Tom. Hey, Austin. How's it going?
Austin Russell: Good.
Kevin Garrigan: Thanks for letting me ask a question. So, I guess, I'm just kind of wondering if you can talk about the progress that you've made with Civil Maps. I mean, one of the U.S. automotive OEMs recently talked about continuing to use LiDAR for mapping. So kind of wondering if that's becoming more of a talking point in your discussions with OEMs than maybe it was six months ago and is that kind of put you at an advantage compared to others that are fighting for the same RFI or RFQ.
Tom Fenimore: Absolutely. It's like, it's just. I like to describe it as value created in the ecosystem by our LiDAR. Austin just mentioned the safety improvements, which manifests itself in the insurance saving. The other Kevin, before you just asked if we're an option or standard, there is for a lot of the customers we're talking to, it's an option for l three or certain levels of autonomy, which the consumer has demonstrated a willingness and ability to pay for and for here you're going to have a lot of vehicles that are going to be driving around collecting 3D data, which is a very useful tool to map the environment around you. And so we want to work with our OEMs, and we're having conversations with them as about how you can capture that and monetize it, because ultimately, the more value we can create with our LiDAR, the more willingness that they are to buy it. And as I mentioned earlier, beat us less up on price because they're going to look at the value created in the ecosystem, and the more tools we provide them to do that, the better it's going to be. So I'm not going to go into much more detail now, but yes, we are getting good commercial traction on the mapping side, and it's another tool in the arsenal when we go in and have those strategic and commercial conversations with our customers.
Austin Russell: We'll share more on Luminar Day.
Kevin Garrigan: Got it. Okay, perfect. Thank you for that. And then, just as a follow-up, can you talk a little bit about how things are going with Nissan, I mean, are things on track with what you've been expecting? Are things taking longer? Is Nissan kind of waiting for the next-gen, LiDAR, any update there would be great.
Tom Fenimore: No. Look, they're continuing to move forward. As a reminder, Nissan, we're at a development contract that at some point in the future is going to convert into serious production. We're very confident of that. We're continuing to move forward on the development side. As I mentioned during the last earnings call, that kind of moved into the next stage of the development contract. As a reminder, right now we have zero in the order book for Nissan. And the reason for that is they really haven't converted that from a development contract to a series production contract you know and that's one of those things that is ultimately out of our control. It's going to be dictated by Nissex product planning and when they're ultimately ready to start putting that on series production awards, I think that is going to happen soon. They're working with a version of Iris. They're not waiting for the next-gen product, although as you can imagine, I think they're very excited about it. And I would say. that we're in discussions with them about how we can grow within the Luminar ecosystem in addition to just LiDAR there. So that's continue to move forward. That's going well but hasn't converted into that series production award yet, which is a trigger where we put it in the order book.
Kevin Garrigan: Yes, got it. Okay, perfect. Thanks, guys.
Aileen Smith: Our next question will come from Mark Delaney at Goldman Sachs.
Austin Russell: Hey, Mark.
Mark Delaney: Good afternoon. Thank you very much for taking the questions. The company noted that a double-digit percent of revenue is coming from non-LiDAR hardware sales already. Can you detail where Luminar has had the most success so far and how do you see these efforts progressing in areas like insurance, software, and semiconductors? And then to what extent are these business adjacencies still ones you want to pursue if you are trying to be more cost-optimized?
Tom Fenimore: Look a very good question. I think you kind of answered your own question where it's kind of like all of the above, right? We do have sales from Luminar Semiconductor which actually provides some of the critical components to our LiDAR. There are sales from that. I would say there are some sales, not big in there for software, but it's more development work we're doing as opposed to actually selling it in, like, I man in serious production scale. So it's more for development work that we're looking to do. There isn't, I would say, anything material in there for insurance yet. And then you know, we are looking to, there are some sales in there in terms of monetizing some of the information we gather, and we kind of used mapping like that as well. And so we are making progress on that. It is, I would say, a material part of our revenue. But in the near term, Mark, what's really going to drive our revenue growth this year is getting the series production with Volvo and selling our LiDAR to them. One of the things we are hoping to do, and it's one of the business milestones we set out this year is to expand. I would say that ecosystem around our LiDAR even more, and manifesting that into the equivalent of serious production winds.
Mark Delaney: My other question...
Austin Russell: I was going to say also on the topic there too, in particular for the Luminar AI engine that we announced at Luminar Day last year. You know that's been a huge driver as well in being able to realize success of the ecosystem. So that's a critical part of that. I think, like I said, we're going to outline more of the details around the ecosystem at Luminar Day, in particular. But to Tom's point, I think we think the most, we actually haven't counted any, like a lot of that stuff as well in the order book, for example, there's no semiconductors in an order book, none of that stuff because there's a lot of nuance to it. So, I think we can provide more detail on that. But it's also important like when you talk about the incremental cost, a lot of the stuff that we're talking about in terms of the long-term work, like I would say even as it relates to LiDAR and industrialization, historically, we may have been a lot more open to doing product customizations for certain types of customers and like autonomous vehicle companies and robo-truck companies out there, for example. And these have -- those do have real cost. And like when the revenue opportunity is like probably in the same vicinity as the cost of what it takes to actually do that and execute that at best, then you obviously have to question those things, and obviously you're making it upfront. So I think that there's a lot of lower hanging fruit as well that we can do where I would say probably 80% to 90% of the value is in, probably more than 90% of the value is in the top, like 50% of the initiatives that we have. So that's where we can just, we can work the dial on that as well, to be more conservative or more aggressive, depending on how much we want to spend. And obviously, we are starting this year, as I mentioned earlier, we're going to lean much more toward the conservative end of that spectrum.
Mark Delaney: Very helpful. Thanks. And my other question was just about one of your objectives for this year, which is to pass the final run-at-rate test for the EX90. Maybe you can talk about what steps Luminar still needs to achieve in order to be ready to pass that final run-at-rate test. And what's different from the run-at-rate test you had talked about passing on the last quarterly call? Thank you.
Tom Fenimore: The final test is, I would say, at a higher rate, which kind of reflects the, I would say, Phase II of where they want us to be able to produce at and it has more strict standards in measuring the quality and the yield that comes off of. And so I think we're going to have the results of that test very soon and based upon the work that the team has achieved to-date, we are very confident that the results of that test are going to be positive, but when we have official results then we will share more broadly, but that's not something we are losing a lot of sleep at night. Basically, the final green light for launch over the coming months here, so, yes. Aileen, are we good?
Aileen Smith: Okay. We will take up a few questions from the SAFE platform from institutional investors. A question for Austin, it seems like there are examples of LiDAR being used in agricultural, industrial, and military segments. Is Luminar actively targeting these businesses?
Austin Russell: Yes, no, it's a good question, and I think to the point the answer is that, yes, we are providing technology and product into those kinds of respective industries. The important part here, though, and this goes back to being more conservative on like investment spend is what we're not doing at this stage is like investing incremental resources that would be required to pursue like...
Tom Fenimore: Those aggressively…
Austin Russell: ...or like product modifications, anything. I think there are certain programs that it's like, okay, these are literally costing like $10 million $20 million, $30 million. Like, it adds up. You have to value respectively, like, what's the opportunity on the other end? And the reality is that we're not going to spend a bunch of time on that when we have the $4 billion to prove for ourselves that people are discounting to nothingness today. So it's like, okay, we got to adapt to the environment. But that said, I don't want to discount like that there are very much real applications outside of just the core automotive business that we are already starting to realize, and not just with the lidar even literally going down to the semiconductor level. So the same kinds of breakthrough LiDAR semiconductor chips that we've developed, we've actually already been able to start selling into other industries as well. And this is where that's a contributor to that double-digit percentage revenue that was mentioned earlier.
Tom Fenimore: This is going to be a key initiative for us in 2024, particularly as we've industrialized Iris and we have got the manufacturing plant up and running. That is going to give us the supply to sell more into this market. We had our business development team spend more of their time in this segment, and so well, it's nowhere near as big of a volume as there is in the passenger vehicle space. You can actually get better pricing in this segment, which helps the margins. But now that we kind of industrialized the product, this is going to be more of a focus area for us. But the priority by far is still going to be on the passenger vehicle side. And that's where we're going to know our team spend the incremental portion of their time on.
Aileen Smith: And another question for, or a question for Tom. When are we expecting Luminar to be profitable?
Tom Fenimore: Yes, look, right now we're focused on getting to the Volvo SOP. And as we're getting there, we're going to start aggressively attacking our unit economics, costs, and streamlining the business. I want to see how that plays out call it over the next couple of quarters before giving an updated guidance on when exactly that's going to be.
Aileen Smith: Okay. And a follow-up to that. Will Luminar need to sell more stock to fund operations?
Tom Fenimore: Yes, look, I think a similar question there. We have $340 million of pro-formula liquidity, as we mentioned earlier. What we want to do is, again, get to that Volvo SOP, assess what that ramp-up is going to look like, assess how we can kind of streamline our unit economics as well as our operations, and then look at the balance sheet and figure out what, if any, actions we want to make. Getting to Volvo SOP is step one. And then from there, we'll figure out what, if anything, we need to do to address the balance sheet.
Aileen Smith: Great. We're going to take a few remaining questions from the analyst community. Our next question is going to come from Winnie.
Austin Russell: I'd also say just generally there, too, we're, of course, always thinking about, and we do understand the importance and not lost on us when it comes to operational efficiency overall. And that's where I think that whole wartime mentality comes into play when it comes to like a cost standpoint and realizing the economy at scale and realizing that billion-dollar investment and we've obviously always had great interest when it comes to, from a private side back in those days, you know. And now, obviously, as a public business, it's a different world. But I think our mentality is definitely shifting around that balance. And that's where you start to see, like I said, with the cost downs from this quarter, and that's where we're going to spend more time on that but. Going to get approved. Step one, you got to prove you can make them scale.
Tom Fenimore: Step two is then you aggressively attack the cost to make them as profitably as possible.
Austin Russell: Exactly. Exactly.
Tom Fenimore: And we're now transitioning to step two.
Austin Russell: Yes.
Aileen Smith: Okay. Our next question from the analyst community is going to come from Winnie Dong at Deutsche Bank.
Tom Fenimore: Hey, Winnie.
Winnie Dong: Hello. Thanks so much for taking my questions. I was wondering if you can provide an update on the competitive landscape during RFQs, maybe an update on your win rate, in particular, in U.S. and China. And then also on the order book update. I just wanted to clarify if that's something that you will no longer profile in the beginning of the year as you had in the past couple of years.
Tom Fenimore: Let me just clarify here. We're going to continue to give order book updates at the end of the year. Right now we're focused on getting to Volvo SOP and getting better clarity on when some of the decisions or conversations with customers when those are formally going to be decided but we're going to continue to update our order book at the end of the year. We just haven't given any guidance yet in terms of how much we expect it to grow this year. But it will grow and we are confident that it's going to grow significantly. Look on the competitive landscape. We're starting to see the rationalization come. You're starting to see some of the startups, just, some of that rationalization start to take place. I think it's going to accelerate here as balance sheets start to get tighter and tighter and tighter and the fundraising environment gets tougher, tougher and tougher. We've also seen some of the big companies, whether they're tier ones or other technology companies who've been in the LiDAR space, look to exit like you guys can go over the list of tier-one suppliers that either had LiDAR partners or tried to do it on their own that are no longer trying it. We start off the call with a question about Mobileye and Intel and it looks like they're stopped work together on LiDAR. This is tough, right? Industrializing this very complicated technology. We've learned this over the last three years now we've come out successfully on the other end and we've learned a lot and we're going to apply those learnings to make Luminar leaner and meaner going forward. But the level of competition that we're seeing in these RFQs is declining and there's really only a handful of LiDAR companies, if that, that we think the automakers are seriously considering to deploy on their vehicles in the coming future.
Austin Russell: Absolutely. And I think you look at it, what, five years ago, six years ago, I think we counted a little of around 200 different initiatives for LiDAR in terms of different companies and tier ones and automakers and technology companies. I think now in the, I mean, I can count on one hand how many are left over and viable. Of course, when it comes to. Just want to be super clear, though, when it comes to a product performance perspective and the capabilities it can enable, that's really the thing that Luminar has always been uncompromising on. There are ways to take shortcuts. There are ways to develop lesser capabilities using off-the-shelf components. There are ways to do all of these things like the whole point is that to be able to operate safely and at highway speed like that's the thing where if you want to be able to do you need to implement Luminar. If you want to go for a different product scope then you can talk about a different kind of in theory, it's possible to integrate a different solution, but nevertheless, I think in any scenario, regardless of all of that, this is the first time, of course, in the case of Volvo, where we actually start to see this launch at global scale and be able to actually get into the hands of consumers, much less standardized on a production vehicle like that and so, and showing off those kinds of capabilities.
Tom Fenimore: Aileen, I think we have time for one more question, and we're coming up to the top of the hour here.
Aileen Smith: Yes. Our last question is going to come from Jaime Perez at RF Lafferty.
Jaime Perez: Hey, everybody. Thanks for taking my question. Hey, Austin. I know we have Volvo coming up. Who else is in the lineup, I mean we've talked about Polestar and also the announcement of Geely owning Lotus technology. I mean, Geely's in, you know, you have a partnership with Geely. So who's next in the lineup?
Tom Fenimore: Yes, look, I don't think we've announced anything publicly with, like, Lotus or Geely. So I just wanted to correct that. But Volvo EX90 is coming after that will be Polestar 3. After that will be Mercedes Benz, and after that will be some other stuff we'll talk about at the right time. But as we've talked about with our order book, we have 21 -- in excess now of 25 awarded vehicle lines and major programs and I would say most of them, vast majority of them are going to be launching really over the next 36 months. The most difficult one by far is the first one, which we're more or less there on. You know we're very proud of the fact, like, look, Volvo said publicly they're going to be launching the EX90 in Q2. If you look at what IHS forecast is for Q2, they are anticipating several thousand production units of the EX90. So we're more or less there. That's the first one. The next 24 plus should be nowhere near the level of difficulty as we just have gone through. And we've learned a lot and we're going to be doing things better and more efficient. But in the next 36 months, we're going to be very busy launching our products on new vehicle lines and getting more vehicles out on the road with our technology. This summer, I think you're probably going to start to see vehicles. The Volvo is on the road with our technology on it. Very excited about it.
Jaime Perez: Yes, it seems like you have a deep lineup.
Tom Fenimore: We do. We got a lot of work in front of us.
Jaime Perez: All right.
Tom Fenimore: But I think the tough part is behind us, right? Doing it the first time is the toughest and I would say most of those vehicle lines are using the same product, you know. So it's not like launching a new product is tough taking the same product and putting on a new vehicle line. There's incremental work there's incremental cost, but nowhere near what it is of launching it the first time.
Jaime Perez: Like Elon says, prototype is easy, production is hard.
Tom Fenimore: Oh, believe me, we've learned that the hard way over the last few years, and we've learned a lot, and we're going to become a better company as a result of that.
Jaime Perez: All right. Thanks for taking my questions. Have a great night.
Tom Fenimore: All right. Thank you.
Austin Russell: Thank you.
Tom Fenimore: All right, Aileen, I think that.
Aileen Smith: That must be the end of the analyst queue. I'd like to thank everybody for sticking around and participating in the call. For the analysts that asked questions and for the investors and other folks who sent in questions and joined us, we look forward to talking with you next quarter.
Tom Fenimore: Thanks, everyone.
Austin Russell: All right. Thanks, guys. See you at Luminar Day.